Operator: Good morning, ladies and gentlemen. Welcome to today's conference call at Siemens AG. At the beginning, we would like to inform you about the fact that this conference is going to be recorded and broadcast as a webcast. [Operator Instructions] With that, over to today's host, Simon Krause, Head of Media Relations and Executive Communications. Mr. Krause?
Simon Krause: Good morning. And again, welcome to today's conference call for Q1 of this new financial year. As always, we have our CEO, Roland Busch; and our CFO, Ralf Thomas, in today's conference call. This quarter, of course, is a very special one. It is the golden quarter of our CFO, Ralf Thomas, his 50th quarter in this role. Congratulations. Now before we get started, a couple of remarks. We, of course, published our Q1 earnings this morning. The presentation as well as the speeches of our Board members as well as any of the documents can be found at our website, siemens.com/press. There, you will also be able to find today's conference call recording. On top of that, of course, today, we have Siemens Annual Shareholders Meeting. Jim Hagemann Snabe and Roland Busch's speeches on the opening for the Annual Shareholders' Meeting are going to be available at siemens.com/press/annualshareholdersmeeting. After the presentations at this earnings call, Roland Busch and Ralf Thomas will be available for your questions. And this conference call will end at the very latest at 8:15. I would like to once again also point out the safe harbor statement, which you will be able to find at the beginning of the presentation. With that, over to Roland Busch.
Roland Busch: Yes. Thank you. Good morning, ladies and gentlemen. Thank you for joining us this morning. At our Annual Shareholders Meeting later today, I'll be explaining to our shareholders what Siemens is doing to achieve the next level of growth. In a word, we are individually positioned -- ideally positioned to implement industrial AI in the real world and scale it with our partners. I'd be very pleased if you take the time to follow our Annual Shareholders' Meeting later. But now let's take a look at the Q1 results and how we assess them. We got off to a strong start in fiscal 2026. Geopolitics are currently dominating the headlines and generating considerable uncertainty. Siemens is focusing on the opportunities we are creating. We are relaying our partnerships to increase our competitiveness and customer value. Before diving deeper, I'd like to outline the highlights of Q1, and I'd like to begin with a big thank you to team Siemens. All our people have worked hard to deliver great results once again. Our book-to-bill ratio, that is the ratio of orders to revenue was a healthy 1.12. As a result, our order backlog hit a record high of EUR 120 billion. As expected, the strong euro materially impacted our nominal revenue growth. Orders at group level increased 10% year-over-year to EUR 21.4 billion, led by a massive momentum at Smart Infrastructure. The team set a quarterly record for orders with major contracts to expand cloud and AI infrastructure for data centers, mainly in the U.S., which is still a booming market. Digital Industries got off to an encouraging start, even though the economic environment in the key industries offered only limited support. Both automation and software delivered double-digit order growth compared to a weak prior year quarter. Our automation business was particularly strong in China, where we are developing more and more products in the country itself. As a result, we're increasingly successful vis-a-vis our local competitors. We launched a number of new products into the market in Q1 with more to follow in the course of fiscal 2026. Our software business benefited from strong demand in various industries. Orders at Mobility increased significantly and more are likely to become -- to come because we are the preferred bidder in a number of tenders. And we've just scored another great success. Last week, we landed an order to deliver more than 200 new trains to Copenhagen suburban rail system, which will be the world's largest open rail system with automated train operations. Overall, revenue growth totaled 8% to which all businesses contributed. Smart Infrastructure's electrification business was again very strong, posting an increase of 22%. Digital Industries software business grew 11% and its automation business was up a healthy 9%. I'm particularly gratified that revenue increased in all regions. The Americas, fueled by the U.S. led the way with an increase of 11%. Europe, Middle East and Africa or EMEA grew 8%. Asia, Australia was up 5%, driven particularly by India, which achieved an increase of 15%. Profit Industrial business totaled EUR 2.9 billion. The profit margin rose to 15.6% and exceeded market expectations, although negative currency translation effects cost us 60 basis points. Basic earnings per share before purchase price allocation accounting or EPS pre-PPA reached EUR 2.8. Free cash flow in Q4 2025 was extraordinarily strong. We experienced a seasonal swing back in Q1 '26. Free cash flow in the quarter totaled EUR 0.7 billion. After these impressive results and our strong start, we are raising our outlook for earnings per share at group level and narrowing its target range. In November, we concretized our ONE Tech Company program and announced an important portfolio-related decision regarding Siemens Healthineers. We are working diligently on the steps necessary to execute the company's planned deconsolidation. We are making good progress. We'll provide you as planned with more details in the spring. One further note about the portfolio topic. Just a few days ago, we sold our airport logistics business in the U.S. to Vanderlande. As a result, we are now completely close to the chapter on this topic. To reach the next level of growth, we are applying the levers. First, grow digital. At the Consumer Electronics Show in Las Vegas in January or the CES for short, we showcased how our customers and partners are harnessing industrial AI to transform their businesses. With our AI-enabled technologies, deep domain know-how and strong partners, we are accelerating the industrial AI revolution. I'll have more to say about that later. Second, grow regions. We've entered a strategic partnership with Samsung C&T. The offerings from our ONE Tech portfolio will enable us to provide solutions for smarter and more sustainable infrastructure projects such as for airports, hospitals and data centers. The partnership is a great opportunity to utilize our unique combination of digitalization, electrification and automation for the benefit of our customers. To start off with, we've already identified infrastructure 6 infrastructure projects in Saudi Arabia, Thailand and Canada for the collaboration, airports, data centers and hospitals. Third, grow verticals. The demand for data centers has considerably exceeded our expectations in this area with 2 advantages. First, our products are in demand because we are also closely involved in designing data center architecture. And second, we can deliver because we've expanded our capacities. Our team increased revenue in Q1 by around 35%. We are confident that we'll be able to maintain this pace throughout fiscal 2026. We'll do it by combining our strengths with a first-class partner ecosystem. For example, we've joined forces with nVent to develop a liquid cooling and energy supply architecture for data centers, especially designed for the AI workloads generated by the latest NVIDIA systems. And with Delta Power Solutions as technology partners, we are providing prefabricated modular power solutions. Together, we cut data center deployment time by up to 50% and reduce capital expenditure, that is CapEx by up to 20%. Equally important, we will also reduce carbon emissions. Fourth, grow AI. One of the best examples of how we ourselves are profiting from industrial AI is our digital native factory for motor control in Nanjing, China. Our team in Nanjing is rigorously exploiting digitalization in AI and using more than 50 AI applications. The result, faster production, shorter time to market and higher productivity. The Nanjing facility has just received the World Economic Forum's Global Lighthouse Award, the fifth Siemens location to gain this honor. At the CES, I discussed how we are bringing industrial AI into the real world and how we are scaling it at our customers by harnessing our technologies, our domain know-how and our strong partnerships. We've been collaborating with NVIDIA for years. Today, we are cooperating even more closely in order to build an AI-based operating system for all industries across the entire value chain, including everything from design and engineering to manufacturing, operations and supply chains. Our customers can develop products faster, use comprehensive digital twins to simulate complex systems and processes in the digital world and adjust production in real time. We presented our digital twin composer, which makes exactly this possible at the CES. The composers innovative software combines complex digital twins and connects them with valuable data in real time. It produces the connection to reality, so to speak. Via our operational automation software, we can also directly control real machines and systems. At the CES, PepsiCo, our pilot customer reported on how they use real-time data to simulate production and logistics at some of their locations in the U.S. The results are impressive. Our teams optimized operations in the digital world. Within a few weeks, they succeeded in increasing capacity and throughout by 20%. It's a highly scalable application for industrial AI. Our software for chip design is another component of our partnership with NVIDIA. We are making our software up to 10% -- sorry, 10x faster by rigorously using NVIDIA technology. We'll also collaborate closely with NVIDIA to build the next generation of AI factories. In addition, we'll use NVIDIA technologies to optimize our own operations. NVIDIA will do the same with our technologies. We've also deepened our partnership with Microsoft, another key partner. Together with Microsoft, we're expanding the co-build and award-winning Siemens Industrial Copilot to form a comprehensive suit across the entire industrial value chain. In addition, we're integrating 9 new AI-powered copilots such as Teamcenter and Polarion into our industrial software to streamline product data navigation and make our customers' operations more efficient and cost effective. Let's take a look at Digital Industries software business. Annual recurring revenue, or ARR, grew organically 10% year-over-year, a very healthy level. Altair and Dotmatics are also contributing to our success. Their businesses are developing as expected. The integration of Altair is progressing well. Our goal is to achieve cost synergies of USD 150 million. About 2/3 of the related measures have already been implemented. We've consolidated around 100 locations. This is a key financial measure, but it's also important for our company culture since we've brought our teams together. My last topic, our electronic design automation or EDA portfolio. We're continuously strengthening it through targeted acquisitions, most recently by the acquisition of ASTER Technologies, a move that will improve our circuit board test. Siemens is growing as ONE Tech Company. We are ready for the next level of growth. And now I'd like to hand over to you, Ralf.
Ralf Thomas: Thank you very much, Roland. Ladies and gentlemen, good morning as well from my side, and welcome to our press conference call. I am pleased to now share further details with you on our strong Q1 of fiscal 2026 and our expectations for our business performance over the rest of the fiscal year. We will begin with Digital Industries. Orders for Digital Industries at EUR 4.8 billion were 13% above the prior year quarter. The book-to-bill ratio came in at 1.07. And the automation business, of course, also had significant upticks and improved for the third time in a row. The book-to-bill ratio was clearly above 1 in both discrete automation and process automation. Overall, however, I have to say that the market dynamics are only gradually improving and they provide limited visibility only. On top of the record fourth quarter, DI's software business again continued its clear growth path from fiscal 2025 with orders close to EUR 1.7 billion for a book-to-bill ratio slightly above 1. This increase was due to a series of larger orders in the electronic design automation or EDA business. Our order backlog at Digital Industries increased moderately to EUR 9.8 billion, driven by the automation business. Now let's turn to Digital Industries revenue, which increased 10%. Here, DI software business achieved a strong growth of 11%, driven by healthy double-digit growth in the EDA and simulation business. The product lifecycle management, or PLM -- that business without simulation was up 7%. Revenue in DI's Automation business was up 9% to EUR 7.9 billion, in particular, due to strength in the short-cycle factory automation business. Discrete automation increased 11%, while process automation was up slightly. The pronounced revenue growth in DI's automation business supported by a very healthy product mix and a solid contribution from the software business also drove Digital Industries profit margin to a higher-than-expected level of 17.8%. In Q1, adequate pricing measures, combined with productivity gains resulted in a clearly positive economic equation, which we will also maintain for the overall fiscal 2026 year. Costs related to the integration of Altair and Dotmatics had an adverse impact of 70 basis points in -- on DI's profit margin in Q1. For full fiscal 2026, we expect this spur to reach around 100 basis points. Both numbers are without severance charges, which will play a rather minor role in the further integration process. As anticipated and indicated back in November, negative currency effects are a material burden on Digital Industries profit margin and amounted to around 110 basis points. Digital Industries free cash flow at close to EUR 400 million got off to a somewhat softer start in fiscal 2024 compared to the very strong Q4 of fiscal 2025. Looking at the regional top line perspective, DI's automation business delivered growth across the board compared to the relatively low levels of the prior year quarter, albeit with varying dynamics. As mentioned, China showed particular strength with double-digit growth rates in orders and revenue. The book-to-bill ratio was clearly above 1. The contribution from our portfolio of local Chinese products further increased. This growth was driven by discrete automation and was supported by healthy demand from distributors. Orders and revenue for DI were fairly solid in Germany. Other European countries and the U.S. showed some improving trends in demand driven by localization efforts and to some extent, by the intended strengthening of supply chain resilience in several of our markets. In particular, verticals like electronics and semiconductors as well as aerospace and defense supported this growth. Digital Industries software business again executed well in favorable end markets. A key contributor here was the United States, which saw substantial growth. After a successful start to the new fiscal year, we confirm our fiscal 2026 guidance for revenue growth in the range of 5% to 10% on a comparable basis at DI. We expect DI's profit margin to move towards the upper half of our guidance range of 15% to 19%. Digital Industries is continuing to drive its transformation rigorously by implementing structural improvement measures, optimizing its sales approach and launching innovative products. Now for the second quarter, we see DI's orders up with a clear increase over the prior year quarter's soft level with growth contributing from its automation business and software business. We expect this development despite a somewhat lower number of large volume orders from the EDA business, both sequentially and compared year-on-year. We anticipate that Digital Industries revenue will grow at a rate in the mid-single digits, supported by growth in both its automation business and its software business. In addition, for Q2, we anticipate a profit margin around the midpoint of DI's annual guidance range. Now let's turn to Smart Infrastructure, which in the first quarter once again delivered outstanding performance. In the end market with healthy development, the SI team once again achieved strong growth in orders and revenue along with further improvements in its operating margin -- its profit margin. In total, orders were up 22%, reaching EUR 7.2 billion, which is a record level for our quarter. Now this increase was driven most notably by growth of 38% in SI's electrification business and 22% in its electrical products business. Order growth in these businesses benefited from a very high volume of large wins for data centers for hyperscalers and colocation providers. Data centers and their orders amounted to a record high of EUR 1.8 billion, about half of these were larger in size. SI's book-to-bill ratio reached an outstanding level of 1.30. Smart Infrastructure's order backlog rose to an all-time high of EUR 20.2 billion, and it thus provides very good visibility for the remainder of fiscal 2026. SI's revenue growth was broad-based and reached 10%, which even exceeded our own ambitious expectations. The largest contribution to this growth came from the electrification business, which was up 22%. Our stringent order backlog execution once again led to further expansion of the profit margin, which rose 210 basis points year-over-year to an impressive level of 19.0%. SI's Q1 profit margin benefited from the commodity hedging effects of about 100 basis points due to volatile copper and silver prices. These effects more than compensated for a negative currency impact of around 60 basis points. As in the previous quarters, Smart Infrastructure continued to benefit from economies of scale due to higher revenue and ongoing productivity improvements. For both free cash flow and its cash conversion rate, Smart Infrastructure got off to a solid start in fiscal 2026. Now here, we saw, as expected, a seasonal buildup of operating working capital. Looking at Smart Infrastructure's regional top line development, we saw robust demand across the board. The U.S. stood out with a massive growth momentum in orders, up 54%, led by data center demand, but also by the strong buildings business. Now it is good to see that Germany as well as the rest of Europe plus the Middle East delivered healthy growth in orders and revenue across all of SI's businesses. This development was combined with stringent backlog execution and was driven by the electrification business in particular. China showed some improvement on low levels despite a continuously soft real estate market. Now SI's services business delivered 7% growth in revenue, driven by double-digit growth in the Americas and in Asia and Australia. We continue to expect very consistent trends in SI's global end markets. The build-out of data centers and power utilities have been and will remain the primary growth engines for this. As a result, for Q2 and for the full fiscal year, we expect Smart Infrastructure's revenue growth rate on a comparable basis to be in the upper half of the guidance range of 6% to 9%, with support again from the high order backlog. For the second quarter, we anticipate that Smart Infrastructure's profit margin will be within the full year guidance range of 18% to 19%, depending on the development of commodity prices and foreign exchange effects. For full fiscal 2026, we expect SI's profit margin to be within the upper half of our guidance range. Of course, we will also dedicate ourselves to implementing adequate pricing measures to, if necessary, address higher commodity costs. Let's now turn to Mobility, which began fiscal 2026 with a solid performance. Mobility's orders at EUR 2.9 billion were above prior year levels. The book-to- ratio was at 0.90. The order backlog at Mobility stands at EUR 51 billion with further improvement of the gross margin. The backlog includes EUR 15 billion of attractive service business. As Roland mentioned, several high-volume contract awards are in the pipeline for actual bookings over the next few quarters. In Q2, for example, we already recorded our share as consortium leader of the S-train Copenhagen project for commuter trains, which has an overall volume of EUR 3 billion. Revenue in Q1 was up 9% at Mobility. This growth was driven by considerable contributions from the rolling stock business and the customer services business. Mobility's profit margin improved to 9%, primarily supported by margin expansion above all in the rolling stock business. Free cash flow at Mobility saw a swing back in Q1 after an exceptionally strong performance in Q4 of fiscal 2025. Looking at project payment profiles and the timing of order awards, we expect Q2 to be rather soft again. However, we then expect to see a material catch-up in the second half of fiscal 2026 as was the case in fiscal 2025. Now our assumption for Q2 is that compared to the strong prior year quarter, Mobility's revenue growth will be temporarily softer in the low single digits. Yet we can very clearly confirm our full year outlook for revenue growth at Mobility in fiscal 2026 in the range of 8% to 10% on a comparable basis. We also assume that in the second quarter and for fiscal 2026 overall, Mobility's profit margin will be within our full year margin guidance of 8% to 10%, which we are thus confirming. The results of our activities below our industrial businesses, as shown on Page 16 in the appendix were as expected. Let me point out that we are recorded -- that we recorded a gain of around EUR 200 million from contributing Fluence shares to the Siemens Pension Trust in Q1. Now this transaction had already been mentioned in our annual Siemens report for fiscal 2025 as a subsequent event and was already part of our guidance in November 2026. Ladies and gentlemen, free cash flow performance in the first quarter at close to EUR 700 million got off to a seasonally solid start in the new fiscal year. After an exceptionally strong Q4 of fiscal 2025, operating working capital increased by approximately EUR 1.3 billion. By paying around EUR 400 million, we have now also fully closed the long-time legacy chapter of the removal of nuclear waste in Hanau, Germany. This payment obligation stemmed from a public law contract that took effect back in September 2025. Nevertheless, we are very confident that we will continue to achieve industry benchmark levels of double-digit cash return on revenue once again in fiscal 2026. With our capital structure metric of industrial net debt over EBITDA at the level of 0.9 and with an industry-leading AA investment-grade rating by both S&P and Moody's, we continue to act from a position of financial strength. On top of the dividend of EUR 5.35, we are materially adding to shareholder return through our accelerated share buyback program. Now over the past 2 years, we have accumulated a buyback volume of nearly EUR 4.4 billion in the current program, well ahead of our initial schedule. In addition, we intend to retire 18 million shares -- treasury shares in March of this year and will reduce our capital stock to 782 million shares accordingly. Finally, let me conclude with our raised outlook for the Siemens Group. Following a strong start to fiscal 2026, we now intend to reach the upper half of our guidance range of 6% to 8% for the comparable revenue growth. And we increased our guidance for the Siemens Group for basic earnings per share before effects from purchase price allocation or EPS pre-PPA, and we are now expecting to reach a range of EUR 10.70 to EUR 11.10 for fiscal 2026. This corresponds to an increase of EUR 0.20 at the midpoint of this corridor. Now even in these times of highly volatile geopolitics, we continuously create value at Siemens by growing profitably and generating cash reliably. Thank you very much for your attention. And Roland and I are now looking forward to your questions. And with that, back over to Simon Krause.
Simon Krause: Thank you very much. We now have until 8:15 for your questions. And as always, we are unable to mix the German and English questions. We start with German. If you have logged into the English language conference, please ask your question in English. We will then also answer in English. And with that, over to the operator.
Operator: [Operator Instructions] The first question from Michael Flamig from Borsen-Zeitung.
Michael Flämig: Mr. Busch, a short question. First, Mr. Busch. You said that you're going to give more information or details about the deconsolidation of Healthineers. Now will you then touch on the tax-related issues? And the second question I have, Mr. Thomas, you talked about data centers. So it is quite unusual that in the first quarter or after Q1 is raising its guidance. Now is the conclusion correct that the business with data centers is a relatively short-term one, so relatively volatile, isn't it?
Roland Busch: Thank you very much, Mr. Flamig. First question, yes. Second question. Well, I can't answer that quickly as the first one. But nevertheless, I can say that we see a very stable development in this respect. And last year, we also draw your attention to the fact that we are building up our capacity and adjusting to the enormous growth potential. But nevertheless, we use a moderate approach. So at present, we should say that we are very happy with the ongoing development. Now in the first quarter, which we are reporting on now, we can say that the order or the incoming order numbers was very, very, very high. So we had major orders coming in, like I mentioned in my presentation. So this means that we do not have separate instances of this, but that there is a wide range of things coming in. So it is even exceeding our expectations. I must say that the growth rates and also the revenue here, we believe that it will be maybe on the same -- more or less on the same level as last year. But nevertheless, we see a positive trend. And we surely are also aware that loss of the energy and computational efforts will be, say, influenced and impacted by the demand, the AI demand maybe. And of course, we are watching, keeping tabs on the markets and see what's happening.
Michael Flämig: But you -- when looking at the order intake, then you can see any downturn or something like this?
Roland Busch: No, we cannot.
Operator: Next question from Christoph Meyer from DPA.
Christoph Meyer: At DI, I'm seeing an upward trend. So you offered a cautious, say, guidance or forecast, if I understood you correctly. Now where are the problems? Or did you only see the good progress to be made?
Roland Busch: Well, DI, well, has never been in the forest to put it like this. I believe that this is a very sophisticated demanding market environment it is operating in. I think it did a very good job in this respect, held its ground, so to speak. All the classical economic levers were used in order to face this challenging business and this environment. Certain quality and other measures were initiated. Innovative products have been launched onto the market also in China. Of course, things are moving slowly, but nevertheless, we try to win or gain materiality so that we are going to have growth rates exceeding 40% in this competitive market environment, surely in China, and I'm sure you are aware of that. Well, at present, I should say we are moderately optimistic and optimist because lots of the, say, investment sentiment, as they say, also is subject to many ups and downs. And of course, geopolitical influences also have an impact, the macroeconomic, the high volatilities and also exchange rates and the raw material prices, commodity prices. So we can say we are well advised and we remain so to make the best use of the chances which we see. And then, of course, we seize the opportunities once they emerge. But otherwise, we keep a more restrained approach in this respect.
Operator: Next question, Marcus from FAZ, Frankfurter Allgemeine Zeitung.
Marcus Schuler: About Digital Industries. Mr. Busch, you said that the economic environment had a dampening effect. Could you give us more information about the industries you mentioned? And to some extent, I should say that the support was a bit disappointing?
Roland Busch: Well, not really disappointing, I should say. Automotive, for instance, and this includes the suppliers, mechanical engineering here, the same situation. And we expect that growth will continue moderately. So pharmaceuticals here, we see a strong demand, electronic and aerospace and defense here, we can say that the picture is a mixed one actually. But automotive, with all the suppliers, we should say that this is one of the major growth drivers when the markets are picking up speed, so to speak. Well, it is like we expected. So we use this, say, moderate or cautious approach. And maybe to add to that, automation, it did a good -- it showed good development. We have value for money products, as we call them, and I can say that they were really successful, and we see growth in this respect, too, and it encourages us to launch the next ones in this year, 2026.
Operator: Next question from Angela Maier from NZZ.
Angela Maier: Just a few brief questions. The airport logistics business in the United States, the book profits. And in the first quarter, what were the license fees of Siemens Energy because they are getting higher and higher. And we might assume that in the midterm, they might fall by the wayside. And then I'm interested in the contributions of Altair and Dotmatics in the first quarter because in the last fiscal year, after closing, you added up and it came out as a loss of EUR 120 million carried forward. So I would like to know the contribution in the first quarter of these 2 companies. And there's another question about the HR change as we heard yesterday, we will now see the position was it? I mean what were the important achievements? He was responsible for the accelerator. And did you -- was really progress made? And does that mean that his responsibilities will be extended?
Roland Busch: Well, thank you very much, Mrs. Maier. Let me start with the Altair and Dotmatics contributions. We do not only talk about the earnings structure. We also talk about the external and internal structures, and I touched on that briefly in my presentation this morning. Surely, we look at the earnings and the burden as a result of the integration is something we take into account. But nevertheless, we will try to decrease this burden, and we -- it will be 170 basis points during this quarter. And I also said that in this context, there will not be any major restructuring requirements, so to speak, over the next few quarters. Now airport logistics. Well, in the second quarter, the -- looking at the earnings, we will see EUR 150 million to EUR 200 million, but this is not a final amount, and we just talk about the Q4 figures right now. Licenses, Siemens Energy, surely, we are not going to give you kind of a quantitative answer right now. It surely depends on the publicly known license agreement with Siemens Energy, how it developed. And like you can see in the prospectus, there were certain thresholds included in this contract. So to continue it, to extend it -- so once we reach that threshold, of course, we are going to provide the requested information. But of course, we are very happy that Siemens Energy is very successful in the marketplace and that this will be translated into good earnings, meaning this will be of benefit to our shareholders. About Peter Koerte, he made considerable contributions over the last few years, and he's got a huge spectrum of responsibilities, technology, predevelopment, technological development. He has to look after these, look after the respective products. Now technology services, digital services, that is -- and there are calls from [ EUR 23 billion ] in fiscal '25, and we expect this to continue and even rise to 47 Siemens AI calls, we will see that there is growth in ASEAN and Middle East, Siemens Accelerator, the respective platforms. We will not be able to sell hardware and software, and we onboard partners. We see strong growth figures in this respect. And Peter, of course, is looking forward to his job he will have.
Operator: Next question from [ Gust Kraft ] from [ Asset ].
Unknown Attendee: Can you say that Mr. Koerte is something like a crown prince? Could you comment on this, please? And the second is before and after SAP, the most valuable company in Germany, what do you expect in this respect?
Roland Busch: Well, first question, the discussion, I must say it is almost unbearable. We are a management team, and this is what we're going to do in the future, too. We are working for this company. And of course, the Supervisory Board will have a closer look at the situation. Now -- well, yes, of course, we are very happy. We are very happy about the development of our share prices. And of course, it is, say, not gratifying that SAP lost value. We need a strong SAP for Germany. But also for the digital further development. But of course, we also look at our share price and then work on improving it. So we have to deliver growth and earnings must be good and then the shares -- the prices will go up.
Operator: Next question from Clara Thier from WirtschaftsWoche.
Clara Thier: Three questions. This fiscal year, will you divest of your shares of Siemens Energy? You hold 10% right now. Two, this fiscal year, can we expect a shareholder meeting about the split of Siemens Healthineers? And this is the next question. You spoke out against this supply chain law. So what are your plans in this respect?
Roland Busch: Thank you very much for your questions. Siemens Energy and divest of Siemens Healthineers shares. Surely, we do not want to kick something off board. No, I want to say that with this split or the spin-off of Siemens Healthineers is we still want to continue accompanying this company when establishing its position in the stock exchange. We think that Siemens Healthineers will show good economic potential over the next few years. We want to accompany this development. And of course, this does not depend on share prices or on us wanting to spin off something. No. We look at the shares. We are using them, utilizing them astutely. And like last year, we have the investment of Dotmatics and Altair, there is financing, which we have to take into account also here, spinning off certain shares. This is something which we are going to do with Healthineers in a similar way, but the situation will continue as it was last year. Well, of course, there are many aspects, the tax-related aspects and the respective services, which we are going to offer. These are passed on to Siemens Healthineers. And of course, the question about the license fees, there are financial aspects which have to be taken into account. So I want to say that there are several questions which we can ask -- which we can answer and we look at them one after the other. And surely, share price, Siemens and Healthineers, surely, we could tap on or monitor the development of the share prices. We look at a time frame of 6 months about, and we will see what happens. So I don't think for the time being, there will not be that much of a difference. Then the supply chain law, we believe that it is very difficult to implement, put it into practice. We are a large company, Siemens. And truly, we are going to manage to handle it, implement it. And the way we position ourselves and whenever we do that, we always think and have in our minds, our customers, our suppliers, it is difficult to implement and sometimes it's even impossible to comply with all the regulations and rules, presenting reports and things. And this also applies to other regulations. Sometimes they are contradictory, sometimes they're exaggerated all these regulations, they are derived based on an end customer demand. And then, of course, they are reflected in the laws. But if you look at business situations, then they walk along different parts. So there are always contradictions. There are always exaggerations. We just have to make sure that these rules and regulations do not restrain us or offer some constraints our business. This is the background of our position.
Simon Krause: All right. Unfortunately, we have to conclude this conference call, and please bear with us that we give you the answer. Thank you very much for your interest in this phone call. And at 8:30, we are going to have the conference call for the analysts also with Roland Busch and Thomas. And of course, you can follow it over the Internet if you dial in to the respective call on the [ 30th ], we are going to see or hear each other again for the second quarter earnings.
Operator: Thank you very much. The phone call has come to an end. A recording of this phone call is available on the siemens.com telephone conference. We wish you a wonderful day, and goodbye. [Statements in English on this transcript were spoken by an interpreter present on the live call.]